Operator: Ladies and Gentlemen, thank you for standing by and welcome to Scripps Fourth Quarter Earnings Report Conference Call. At this time, all participants are in listen only mode. Later we will conduct a question and answer session. [Operator Instructions]. I would now like to turn the conference over to our host, Vice President of Investor Relations, Mr. Tim Stautberg. Please go ahead.
Timothy E. Stautberg - Vice President/Communications and Investor Relations: Good morning all and thanks for joining us. We will start the conference call today with comments from Ken Lowe, our President and CEO; and Joe NeCastro, our Executive Vice President and Chief Financial Officer. Our prepared remarks should take about 15 minutes. We know you have busy schedules so we will make sure we are done by the top of the hour. Before we begin, let me introduce the other members of our senior management team who are here with us on the call. Joining us are Rich Boehne, Chief Operating Officer; John Lansing, President of Scripps Networks; Mark Contreras, Senior Vice President of Newspapers; Bill Peterson, Senior Vice President of our TV Station Group; Lori Hickok, Vice President and Controller; A.B. Cruz, our General Counsel; and Jennifer Weber, who heads up our Human Resources. Let me remind you, if you prefer to listen in on the Web, you can go to Scripps.com, click on shareholders and find the link at the top of the page. An audio archive will be available on Scripps.com later today and we will leave it there for a few weeks so you can access it at your convenience. Our discussion this morning will contain certain forward-looking statements and actual results may differ from those predicted. Some of the factors, which may cause results to differ, are set forth in our publicly filed documents, including the 2006 Form 10-K. Now, here is Ken.
Kenneth W. Lowe - President and Chief Executive Officer: Thank you Tim and good morning everyone. As always, we appreciate your interest in our company. Scripps and its shareholders benefited truly once again during the fourth quarter, for that matter for the full-year 2007 from the tremendous popularity and superb financial performance of our lifestyle television networks and their related interactive businesses. Despite persistent industry-wide weaknesses in newspaper advertising and an off-election year for our television stations, consolidated total revenue was down just slightly for the quarter and actually finished ahead for the full year. Total revenue at Scripps Networks was up 14% during the final three months period of the year, driving a very strong 22% increase in segment profit for the division. For the full-year, total revenue was up 13%, an annual growth rate that led the industry and I think a reflection of the talented team that we have assembled at Scripps Networks. In fact, the Scripps Networks ad sales grew to top honors as best ad sales organization at the latest Jack Myers Survey of ad Agencies and Media Buyers. That is quite an accomplishment and I have to say one that we are very, very proud of here at Scripps. Kudos to Steven Gigliotti and his team. HGTV and Food Network our flagships continue to carry the freight [ph] while our three emerging networks each saw very strong double-digit revenue growth for the quarter. At HGTV, 2007 was the best ratings year ever, that's worth repeating, our best ratings year ever, especially when you consider this network is almost 14-years old. And that momentum that we created has continued right into the New Year. Programming standouts like House Hunters, Designed to Sell and Find Your Style, just to name a few continue to draw passionate engaged audiences to our highly targeted network. So far this year, total daily impressions are up nicely year-over-year as we continue to build a solid audience across just about all-key demographics. We started the year off right at the Food Network as well. Household viewer ship during prime time was up a very healthy 10% in January compared with the same period last year, and total day impressions are up 5%. We began seeing some strengthening in our audience numbers at Food as 2007 drew to a closing, clearly that trend we are very happy to report has continued. Programming highlights in Food all targeting increasingly younger viewers, include Ace of Cakes; Diners, Drive-Ins and Dives; Dinner Impossible; and of course Iron Chef America, just to name a few. Incidentally, we are going to begin simulcasting both Food and HGTV in High-Definition beginning on March 31st. Now suffice it to say that our flagship networks have stayed absolutely true to the programming strategy that has guided their success now for more than a dozen years. Our disciplined focus on shelter and food, two content categories that... just about everybody can relate to, continues to serve us and our shareholders very, very well. At our Emerging Networks, ratings at DIY gained momentum during the fourth quarter, thanks to great shows like Rock Solid, Cool Tools and Bathroom Renovations. Fine Living is making good progress as we step up programming and marketing in anticipation of the network becoming Nielsen rated next year. We scored a really big cue [ph] singing Martha Stewart's syndicated show to repeat in prime time on Fine Living Monday through Friday. And over at Great American country, GAC pure country music fans are turning to us in increasing numbers now that the network has reached and actually passed the important 50 million subscriber mark. DIY and Fine Living are also both approaching 50 million households. On the Internet, Scripps Networks is making great strides towards expanding its competitive advantage as the leader in lifestyle media. In December, for the 17th consecutive month, FoodNetwork.com was the Internet's top web site in the food and cooking category, attracting an impressive get this [ph] 13 million unique visitors, and by the way that is an all-time record for us. With the recent addition of recipes, our Scripps Networks now accounts for 25% of all web traffic in the food and cooking categories. That percentage is even higher when you include our new revenue-sharing partnership with Rachael Ray and her popular web site. Also during the fourth quarter, as part of our ongoing strategy to build out our interactive portfolio, we launched FrontDoor.com, a video rich real estate listing service powered by HGTV. FrontDoor is in its infancy, but we believe it will have a competitive edge over other real-estate sites, thanks to HGTV's deep archive of relevant video content. All in, online revenue at Scripps Networks was up 22% during the fourth quarter. As we accelerate development of interactive enterprises the target to same lifestyle categories that we dominate on TV. And as we move towards completion of our separation plan and following a year that saw total revenue approach $1.2 billion, the trends at Scripps Networks are all moving in the right direction. Now turning to our search businesses, the story at Shopzilla is one of improvement, one of America's top online comparison shopping services, Shopzilla finished strongly in the fourth quarter with both the top and bottom lines ahead of last year during the same period. Even better, we have been experiencing very solid revenue growth in the early going so far this year, thanks to increased traffic acquisition efficiencies. Things are definitely looking up at Shopzilla both here in the United States and in Europe. At uSwitch, we continue to face very challenging market conditions prompting us to anticipate a substantial write-down of goodwill and other intangible assets. Joe is going to go into a little more detail on the write-down issue in just a moment. Our strategy at uSwitch for now is to align costs with the current business conditions, while at the same time working to diversify the business in a way that reduces its dependence on energy switching. At our local newspapers, we continue to be affected during the fourth quarter by the persistent weakness in advertising sales that is truly bedeviling the entire industry. The weakness has affected us in virtually every category of classified and local advertising. On a couple of a positive note, circulation revenue was steady during the fourth quarter compared to last year and we continue to see growth in on-line audience and advertising. At our Television Stations, as expected results reflected the relative absence of political advertising during the fourth and the full year, now we are really looking forward to the second half of 2008, when we expect campaign spending to really hit its stride. With all that, let me now turn it over to Joe. Joe?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Thanks Ken, good morning. As we reported this morning, Scripps Networks had a very strong quarter thanks to the solid viewer ship at our flagship networks and web sites and the strength of the national television-advertising environment. The weakness in newspaper advertising, the lack of political advertising in our TV Stations and challenging business conditions at uSwitch however, largely offset the growth at Networks and consolidated revenue was flat for the quarter. In addition, as we noted in the press release our results were preliminary at this point because we are not yet final on the outcome of our annual FAS 142 asset impartment test. In the course of that evaluation we have determined that we need to take a substantial write-down in the carrying value of our investment in uSwitch. We won't know though the exact amount of the charge until we work through the entire process. The amount of the write-down will be disclosed when we file our Form 10-K at the end of February. As I am sure you are aware, the impairment issue is related to the general decline in the energy switching business at uSwitch, the losses there in 2007 were significant enough for us to determine that a write-down of goodwill and other intangible assets is in order. Also related to uSwitch, net income was reduced by $0.06 a share because we brought down our estimate of the value of certain future tax benefits that we had recorded in prior periods. The anticipated tax benefits had been based on more favorable future business assumptions for uSwitch. As Ken mentioned, while business has been difficult at uSwitch, it looks like we've turned the corner at Shopzilla. Revenue and segment profit at Shopzilla improved during the fourth quarter year-over-year, showing very healthy double-digit growth rates. Their sites continued to rank in the Top 10 of all U.S. retail web properties and while estimates of unique visitor growth for the U.S. Online Retail Industry in December were in the low-single digits, Shopzilla sites grew 15% and they topped 26 million visitors for the first time ever. Back to the Networks for a moment. The news is pretty much all good, with just about every measure moving in the right direction. We are expecting double-digit growth at again in Scripps Networks in the first quarter based on the success we had in the upfront last fall and the encouraging ratings and viewer ship numbers we are seeing as we begin the New Year. Of course our estimates depend on the continuing strength of the scatter advertising market which so fat has been holding up pretty well. Also, earlier this month we wrapped up our HGTV renewal agreement with Time Warner, it is a multi-year agreement with term similar to the one we signed last year with Comcast. At our TV Stations, we're feeling positive about 2008 with the return of political and the Olympics on our NBC Station this summer, we are expecting a pretty good year. The newspapers are a different story. With the secular issues confronting our newspapers, along with the rest of the industry of course, showing no signs of letting up. Classified revenue was particularly weak, especially employment which was down 31%. Real Estate, which was up 25% year-over-year in the quarter. Automotive wasn't quite as weak but still down about 11% from the same period last year. Also, just as a reminder we ceased publication of the Cincinnati Post at the end of 2007. And going forward, we will be reporting its prior year results as discontinued operations. That said, the company continues to generate substantial free cash flow, debt as of December 31st was down to $504 million compared with $766 million at the end of 2006. Because there is less debt in the balance sheet, interest expense for the fourth quarter was down to $8 million from $13 million during the same period last year. Capital spending ended up being about $129 million for the year. That included spending related to the expansion of our Scripps Networks head quarters in Knoxville, our TV Station upgrades to High-Definition and software development costs for the search business. For the full year, we spent about $58 million to repurchase about 1.3 million shares at an average price of just over $42. As for the guidance, you have the numbers in the press release, so I am not going to go over all of them again here. As we noted, we are looking for first quarter EPS to be in the range of $0.38 to $0.42 per share. That range does include an allowance for transition costs related to the separation. Also implicit in the EPS range, we provided is an effective tax rate of somewhere between 33% and 34%. You will remember that we don't include any provision for income taxes on the tribune's 31% minority interest in the Food Network. Finally, let me give you a very quick update on the company's separation plan. First, we are still right on track to complete the transaction by the end of June. First, we are also anticipating that the private-letter ruling from the IRS on the tax-free nature of the spin should be received sometime in February. We are also well into the process of preparing a registration statement for the new company, we have made progress on identifying key members of each of the company's new management teams. And also lastly based on our current negotiations, we are very confident we will have our bank financing in place well ahead of the separation time. That concludes our prepared remarks. Operator, we will be happy to take any questions at this time. Question and Answer
Operator: [Operator Instructions] Our first question comes from the line of Peter Appert with Goldman Sachs, please go ahead.
Peter Appert - Goldman Sachs: Good morning, thank you. Ken, can you give us any more specifics on what you are seeing in terms of scatter pricing currently, and in particular, just any differentiation in terms of categories?
Kenneth W. Lowe - President and Chief Executive Officer: Sure, Peter, we got John here, I will let John jump on that.
John Lansing - Senior Vice President and President/Scripps Networks: Sure Peter, good morning. Scatter remained strong in the first quarter, we are seeing on a net Q3 basis scatter up 5 to 6% on an HGTV and closer to 9 to 10% on Food Network and the pending business facing ahead of last year, so all indications are that market is strong and should remain so for the quarter.
Peter Appert - Goldman Sachs: Great, and anything interesting in terms of the categories?
John Lansing - Senior Vice President and President/Scripps Networks: The same categories, Peter, the endemic [ph] and HGTV lead the way and on Food Network, we are still seeing strength in the financial category as well as the endemics there.
Peter Appert - Goldman Sachs: Okay, great thank you. And then Ken one other thing, one the Interactive business, can you give us added color in terms just the revenue momentum you are seeing on Shopzilla, it will be really helpful to better understand the trend you are seeing there for... better see the progression in revenues, in terms of year-to-year growth rate, and then sort of related to that, the write-off at uSwitch, should we take that as perhaps an indicator that this business could be sold or discontinued some time in '08?
Kenneth W. Lowe - President and Chief Executive Officer: I will let Joe comment on both of those questions, Peter.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Yeah Peter. As far as Shopzilla, we are obviously very encouraged by the recent news there and the sort of change in fortunes that began in the fall. We are optimistic now that we are... also cycling over some pretty weak quarters from last year, but the fourth quarter was a very strong story for us and for the first time in several quarters we were experiencing double-digit growth in net revenue there. I think we are safe to say, mid teens level on revenue growth there. As we enter the year '08, we continue to see that strength and we are doing a lot of things to ensure that, that is sustainable for us. So we... I think we are all very optimistic about how things are going at Shopzilla. The team now there is doing an outstanding job of riding the ship and getting us on the right track going forward. Over to uSwitch, we are focused on getting the cost down, to where they need to be. We had a significant headcount reduction in the last year. We are hopeful to avoid further but that's always a possibility as we sort of slice up the market. There has been some recent volatility in energy market there. That's always good for us. But it continues to be shared by some other switching companies. It's premature for us to say we would do anything other than continue to engage our competitors there and try and diversify some away from energy. That is our plan at the moment.
Peter Appert - Goldman Sachs: But at the moment, the revenues at uSwitch are 100% related to the energy switching offering?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: No, no. They are... the majority related, but not anywhere near 100.
Peter Appert - Goldman Sachs: Okay. What are the other products that are up and running?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Financial services, insurance, telecommunications products and--.
Peter Appert - Goldman Sachs: And then, do you see revenue momentum in those categories?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Well, we saw pretty good momentum in financial services. But the U.K. like the U.S. is experiencing its own issues in sub prime and sort of personal loans and in the credit card business there. So, things have been a little bit rockier lately, but the trends there have been pretty good.
Peter Appert - Goldman Sachs: Okay. And last thing. You are still committed to getting this to breakeven no matter what in ‘08, correct?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: That is correct.
Peter Appert - Goldman Sachs: Great, thank you.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Thanks Peter.
Operator: Our next question comes from the line of Alexia Quadrani with Bear Stearns. Please go ahead.
Alexia Quadrani - Bear Stearns: Hi thank you. Couple of questions. First, can you give us a sense of how much you are budging for that allowance you mentioned in the first quarter for the separation of the businesses? And then, I know you touched on the categories for HGTV, I think still you are pretty much the same they have been in terms of spending. But I just want to check make sure that anybody had any change in that so far for the start of the year in January? And lastly, if you could just comment on how much of a drop-off you saw in the newspaper business in December versus the previous months in the quarter and does that continue to deteriorate in January?
Kenneth W. Lowe - President and Chief Executive Officer: John, I want you jump on the category question. And then Joe, budgeting for the separation and Mark Newspaper question.
John Lansing - Senior Vice President and President/Scripps Networks: Alexia, the categories of spending on HGTV continue to be supported a great deal by the endemics and notwithstanding all that's going on around the housing market, we continue to see strength in the endemic categories. Indeed, even some improvements with some key advertisers. And we understand why that is the case because HGTV is a very efficient plate for people in our category to reach an audience that's passionate and pre-exposed. So although budgets may be changing for other media, we see the shelter budgets really continuing to be strong in HDTV.
Kenneth W. Lowe - President and Chief Executive Officer: Okay. Joe?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Yes. Alexia on transition cost, we are budgeting somewhere in the $4 million to $5 million range for the first quarter. But I got to tell you that number is a little bit lumpy and some of that could shift out of the quarter because some of it is based on consulting help we are getting in transaction-related cost.
Alexia Quadrani - Bear Stearns: That's what you're including in your guidance.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: In the guidance, we've got somewhere between 4 and 5, couple of cents.
Mark G. Contreras - Senior Vice President/Newspapers: Alexia, this is Mark. On the December versus the full quarter, we did about... in December and we did about two points better in terms of less decline if you want to find it that way, in December. The only other upcoming issues that may be of interest is that we are going up against some very negative numbers in the first and second quarter of next year to the tune of 9% or 10% in the first and second quarter of '07. So, we may be able to see some improvement on the last couple of quarters' performance. But we are still very, very cautious and don't want to signal to you that there is any light at the end of the tunnel in the short term.
Alexia Quadrani - Bear Stearns: Thank you.
Kenneth W. Lowe - President and Chief Executive Officer: Thanks Alexia.
Operator: Our next question comes from the line of Fred Searby with J.P. Morgan. Please go ahead.
Fred Searby - J.P. Morgan: Okay, great, thank you. Couple of questions, one is the 10% to 12% in programming cost for the cable nets, it just looked a little bit high, I just wondered if you could just highlight what's going on there? And then secondly, can you talk about the licensing deals, maybe I missed in the press release, but what the impact was on the Kohl's deal with Food and where you stand on some of the other ones in your pipeline? Thanks.
John Lansing - Senior Vice President and President/Scripps Networks: Fred, this is John. Starting on the Kohl's deal, the fourth quarter was very strong. It met, just about met all the expectations at Kohl's after the quarter. And we are very pleased with the deal. Remind me the first question.
Kenneth W. Lowe - President and Chief Executive Officer: I can do it. I think, Fred, you were looking at the 12% cost increase--.
Fred Searby - J.P. Morgan: Yeah.
Kenneth W. Lowe - President and Chief Executive Officer: At the network for the first quarter, our guidance. It is a little bit high relative to the other quarters, we just have some seasonality there, the spending in the first part of the year is higher. The rough translation of that is that we have some programming, amortizing, and then actually during the year it reduces over time. So, we are reaching the end of the amortization of certain programming costs so the programming in the first quarter is higher than any other quarter of the year and that gives us the higher expense number in the first quarter.
Fred Searby - J.P. Morgan: And do you think the writers strike is boosting ratings, it looks like Food has picked up a little bit, I mean wondered what you thought the..
Kenneth W. Lowe - President and Chief Executive Officer: Yeah Fred. We are all interested in following the writer's strike of course. The thing about our ratings, the strength that we are seeing today was really begun during the third quarter with the remarkable success that Food Network starred, actually that was in the second quarter, and then HGTV design starred in the third quarter, which we used a catapults to launch a number of new series in prime time. And those series have proved to be quite successful and that success built throughout the fourth quarter and then it is continuing now into the first quarter. Whether or not the writer strike is helping or not, I have no empirical evidence, it certainly doesn't hurt I suppose. But the strength in the ratings that we are seeing really is tied just specifically to programs that have been showing strong growth since that they were launched in September.
Fred Searby - J.P. Morgan: Great, thanks guys.
Operator: Our next question comes from the line of John Janedis with Wachovia. Please go ahead.
John Janedis - Wachovia: Hi, good morning. Thank you. I guess Mark based on the 1Q newspaper ad revenue guidance, it looks like you are expecting a bit of a sequential improvement in the quarter from 4Q. Is that… you kind of touched on that, but is that purely comps or does the tone feel any better at all or maybe even worse than advertisers?
Mark G. Contreras - Senior Vice President/Newspapers: I wish I could tell you it felt a lot better, but it doesn't. We just had such steep declines in the first and second quarter of last year that much of what we are talking about now is related to going up against some pretty tough numbers of last year making the comps easier.
John Janedis - Wachovia: Okay. Thanks.
Mark G. Contreras - Senior Vice President/Newspapers: But, I don't… again I don't... I'm going to be very clear, I don't want to signal that we would see any light at the end of the tunnel, we're acting on expenses as though much of the difficulty is going to continue and much of that is concentrated in Florida and California. The lion share frankly, 70% plus is because what's going on in California and Florida.
John Janedis - Wachovia: Okay. All right thanks. How you view the longer-term profitability potential? Have uSwitch given the write down and do you foresee a time when energy, either in a good scenario will be half or less than half of the business, or how do you think about that?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: John this is Joe. You could add a little bit in your question but, I'm... I'll guess that fill in the blanks, here and answer the question I want to answer. Look, we as you know, as you look at the impairment, that's very much about your future prospects and your outlook for that business and also about the timing of that. So, while we had a great year in '06 on a full year basis, '07 fell significantly and we actually lost money. So, as you push out that curve, you end up producing the value of that business, no matter what's your view of the long term is. It does so happen, of course that our long-term view of that business is less positive than it had been. And so, the combination of pushing it out and flattening the curve some as you go results in a obliviously, significantly lower value to that business. We're still positive on the market and the consumer prospect of that business and the fact that its got a very good and strong a recognizable brand name. So, we're going to continue to pursue that in the near term. What was the second question?
John Janedis - Wachovia: It is related to that is... If you lookout a couple of years, the... is this a business that'll be more so non-energy or how are you thinking about it right now.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: On energy, exactly how we're thinking about it. And in fact, if you go back and listen to what we've talked about before, we were making a pretty good amount of cash flow there and our plan was always to reinvest that into the launch of products so that we could diversify that portfolio, both within the U.K., and then even diversify geographically beyond that, that was the plan all along, we're going to continue to pursue that, but on a scale-down basis, since we just don't have the cash flow coming out of that business that we expected.
John Janedis - Wachovia: Thank you very much.
Operator: And our next question comes from the line of Craig Huber with Lehman Brothers. Please go ahead.
Craig Huber - Lehman Brothers: Good morning, thank you. Going back to your guidance you guys gave back in early December for your cable networks up 8% to 10% for revenues. Can you just give us some more detail what you're thought is for this year, the more predictable part that your affiliate see growth for this calendar year please.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Craig, give me second, I'm checking some of my backup here. Its still… Craig we're still looking at double-digit increases we're in the teens in terms of growth rate for affiliate fees for the year. And that has not changed since we gave the guidance early on.
Craig Huber - Lehman Brothers: Okay. And then on a cost front for your cable networks, for this year you've also talked about, I guess up 8% to 10% from this New Year [ph], I realize this is heavily [ph] first quarter as you mentioned. Could you just give us little more detail why cost of that much in marketing and programming more investments intractable, what is it exactly?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Yes, Craig. You've touched on two of them. It clearly is focused on our strategy which is to strengthen our core brand HGTV and Food in a very competitive environment requires us to increase our programming investments, and then our particular investment around all of our interactive businesses, our interactive add revenue is growing at about a rate of close to three times our linear advertising revenue and so our dollars of investment on the interactive side yield an excellent result and we will continue to do that. And we believe over the long haul, the rate of growth can actually improve on the revenue side as we grow the interactive business through the strength of these brands and these categories.
Craig Huber - Lehman Brothers: Okay. Then my last question, on Shopzilla and uSwitch, are you looking to sell one or both those properties in the market, trying to sell them?
Kenneth W. Lowe - President and Chief Executive Officer: No, we are not.
Craig Huber - Lehman Brothers: Okay. Thank you.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Thanks, Craig.
Operator: And we have no more questions in queue at this time.
Timothy E. Stautberg - Vice President/Communications and Investor Relations: Thank you, operator. This is Tim Stautberg. I appreciate everybody taking some time this morning to join us. If you have any further questions, I will be available at 513-977-3826. Thank you operator.
Operator: Thank you very much. Ladies and gentlemen, this conference will be made available for replay afternoon Eastern Time today until February 7 at midnight. You may access the AT&T Executive Playback Service at any time by dialing 1-800-475-6701 and entering the access code 905031. International participants may dial 1-320-365-3844. Again those numbers are 1-800-475-6701 access code 905031 and international participants would dial 1-320-365-3844. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.